Operator: Good day ladies and gentlemen. And welcome to the News Corp Third Quarter Fiscal 2017 Earnings Call. Today's call is being recorded. Media is allowed to join today's conference in a listen-only basis. At this time, for opening remarks and introductions, I would like to turn the conference over to Mr. Mike Florin, Senior Vice President and Head of Investor Relations. Please go ahead, sir.
Michael Florin: Thank you very much, Matt. Hello everyone and welcome to News Corp's fiscal third quarter 2017 earnings call. We issued our earnings press release about an hour ago and it's now posted on our website at newscorp.com. On the call today, are Robert Thomson, Chief Executive, and Susan Panuccio, Chief Financial Officer. We'll open with some prepared remarks, and then we'll be happy to take questions from the investment community. This call may include certain forward-looking information with respect to News Corp's business and strategy, actual results could differ materially from what is said. News Corp's Form 10-K and Form 10-Q filings identify risks and uncertainties that could cause actual results to differ and contain cautionary statements regarding forward-looking information. Additionally, this call will include certain non-GAAP financial measurements, such as total segment EBITDA, adjusted segment EBITDA, and adjusted EPS. The definitions and GAAP to non-GAAP reconciliation of such measures can be found in our earnings release. With that, I'll pass it over to Robert Thomson, for some opening comments.
Robert Thomson: Thank you, Mike. In the third quarter, we saw positive results in our ongoing mission to become increasingly global, digital and diversified to be resolutely cost conscious and to deliver enhanced results for our shareholders. There was robust growth in revenues and EBITDA, specifically a 5% rise in revenues to approximately $2 billion and total segment EBITDA of $215 million compared to a loss of a $122 million in the prior year, which included the News America Marketing settlement charge. Excluding that charge, total segment EBITDA in the quarter would have increased 36% compared to the prior year. We are pleased with the performance of many of our businesses, including at our digital real estate services segment, which continues to fly. We had indicated that the EBITDA contribution at Move would improve and that revenue growth would accelerate and I am pleased to report both goals have been achieved this quarter, though we will certainly not allow our compliance field smugness to be characteristics at realtor.com. While print advertising remains challenging, we saw some moderation and declines across mastheads this quarter. And notably the news and information services segment was a sort of growth this quarter, both in revenues and EBITDA, driven by the muscular performance of installed product revenues in News America Marketing, healthy circulation revenue gains at the Wall Street Journal and a thoughtful cost production program. Speaking of the Wall Street Journal, we continue to build on the momentum of digital styles, adding more than 300,000 subscribers year-over-year. Digital now accounts for 53% of total subscription, up from 44% last year and 38% two years ago. In fact we added even more subs this quarter than in the second quarter, suggesting that the appetite for premium news and thoughtful commentary is undiminished. This success also as a result of innovation with our payroll including the elimination of Google so called First Quick Free Scheme [ph], which is in need of serious scrutiny as it punishes premium news. But whiners are not winners, so I am pleased to report, we are making progress on our development of a new digital advertising platform, focused initially on the U.S. market using the data, content and audiences of our businesses to ensure brands have real rich and are not subject to guilt by association. This initiative follows our news connect offering in Australia and we will provide more information about the emerging platform in coming months. We have been among the strongest and most consistent voices in making clear that the digital duopoly has commoditized content and had created an ecosystem that is dysfunctional and defiled. The consequences of commodification include fake news, ramping piracy and brands just oppose we joined us on extremist websites. The current content configuration is detrimental to consumers, the businesses and to societies. We are in discussion with Facebook and Google about premium content and brand enhancing environment and hope that will assist in fashioning a healthier eco system that rewards created in content and not just the distributors, the parts and the perfidious. At this stage, it is fair to say, that Facebook is more responsive and responsible. That we will highlight these issues until there is meaningful movement. Let us turn to our businesses in more detail. At Move, home to realtor.com reported revenues increased by 15% in the quarter, accelerating from fiscal Q2 levels. Excluding the $4 million from TigerLead which we sold in November, growth was 20% and the company contributed segment EBITDA growth consistent with our expectations. Average monthly unique increased from $44 million in Q2 to $55 million for the quarter, including a monthly record of $58 million in March. And we saw improvements in pace penetration and audience engagement, both crucial for Lead volume which also improved in the quarter. Overall according to CUNY School in March realtor.com led by Zillow and Trulia an engagement by 30% based on minutes spend and has continue to gain share in this sector. The new advantage product launched in December is performing in line with expectations and we saw acceleration in growth in the connections for buyer's product, driven by higher lead volume and increased customer flow. We continue to fortify realtor.com, with products like Sciencenab, Streetpeak and enhanced 3D listings which will move from better to full release in the coming months. We added photography in local data to off market listings, which helps driving engagement and we focused on the speed and reliability of our products to ensure an optimum experience for users. Looking ahead, Move is expecting to make further developments in the software and services business an essential element of that crucial relationship with the community of Realtors, less central to real estate transactions. REA, which completed the sale with European businesses in December 2016, posted strong revenue and expanded EBITDA contribution in its core Australian business, driven by product mix and the adoption of premium product. REA achieved record business in March and materially outperformed the competition. The company provides a deeper content experience complementing our masters in Australia and has strengthened its premium product offerings, launching front page, allowing Windows to showcase properties on the home page based on a user's previous search behavior. At News and Information services, revenues grew almost 3% and segment EBITDA excluding the settlement charge at News America marketing in the prior year would have expanded more than 30%. As mentioned the decline in print advertising moderated while we implemented cost reduction programs such as the Wall Street Journal 2020 initiative, which is designed to reduce expenses plus imperatively drives a contemporary flow of content for readers and clients. We are clearly cost conscious but intend to bolster the quality of our unique content across our mastheads and the cross platforms around the world. At Dow Jones, ad revenue trends improved relative to prior quarter, meanwhile the risk in compliance business remains particularly healthy with revenue growth over 20% and prospect certainly appearing positive the real and compliance is essential. As mentioned there was robust digital subscriber growth at the Journal, with more than 30% increase versus the prior year and the momentum has continued. In fact, not only did we have the 300,000 year-over-year increase plus this also set a record in digital subscriber growth since the launch of our sales and subscriber reporting metric. Overall circulation revenues expanded at a mid-single-digit rate. The New York Post digital network continues to make headway and digital now accounts for more than 50% of its ad revenues. We are also pleased to report last month the [Indiscernible] TV has been adopted in a 185 markets covering 90% of the country in advance of its launch this fall. That fall is well for the program and the brand. In the UK at the time standard print circulation volumes grew high single-digits and market share improved once again. In digital the Times and the Sunday Times continue to grow subs and ARPU while in print, the Times had the largest year-on-year growth among pay for national papers in the quarter. At the Sun, the number of monthly unique visitor's version reaching 80 million globally in March, doubling over the past year and up 5 folds since the pay rule we removed in late 2015. The Sun has already surpassed the mirror as the second most reviewed website in the UK and is working closely with talkSPORT to drive incremental traffic and revenues. Times for the UK economy remain positive despite the fee among during the ahead of the Brexit vote and regardless of the inevitable uncertainty caused by the upcoming election. Conditions from our mastheads in Australia remain challenging although print ad declines moderated and circulation revenues were relatively stable. Thanks to a lift in digital subscribers and the price increases. Our team in Australia is focused on digital subscriptions, which general 27% growth year-over-year, including ARM to more than 330,000. Meanwhile news.com today retained its ranking as a preeminent news site in Australia. News American market saw marked growth in the in-store business which is benefiting from product enhancements and an increase in new CPG campaigns. The goods companies and the retail as they are increasingly recognizing NAMs, prowess at the point of purchase. Checkout 51 also grew in the quarter and now has $13.4 million U.S. and Canadian members more than double the total of last year. It is become a key part of NAMs integrated digital offering. In fact, Checkout 51 along with Storyful and realtor.com are working closely with NAM on joint sales pitches with major brands to better leverage data and drive incremental revenue. The News and Information Services segment also benefited from the acquisition of Wireless Group in UK and the Australian regional media business both of which contributed revenues in the quarter. Storyful and Unruly continue to expand their collaboration and are working more closely than ever with many of our businesses. Storyful recently announce the new partnership with Weber Shandwick, illustrating how it has expanded its work. There were six companies, the concerns are the brand safety and furnish vital intelligence on issues related to risk and compliance. In book publishing, there was solid revenue growth at HarperCollins, which saw improvement in digital and enduring success of Hillbilly Elegy and Hidden Figures. We also had the release of Veronica Roth's Carve the Mark. We are looking forward with much anticipation the release of new books by Michael Curtin [ph] and David Williams in May and note the continuing strength of HarperCollins Christian based industrial. We are confident that the international footprint we acquire through Harlequin combined with our Evangelical expertise should lead to increase business in Latin America where the Evangelical movement is particularly influential. At Fox Sports, advertising remain strong compared to a relatively substitute TV marketplace in Australia. Riding a 6% higher in March of the year, thanks impart that the successful launch of the Fox League channel, it's dedicated Rugby League offering. Fox Sports also launched the first overseas over the top partnership with IFO, the people around the world can watch the world's most captivating context sports. At our 50% earned Foxtel, the company continues to invest in top tier sports and local content. Further differentiating it's unique package from lower quality of players, Foxtel Play, will have an upgraded user interface and additional HD options, as Foxtel seeks to provide a compelling offering for customers. Having acquired the popular Sky News, we have added to our portfolio of cable networks in Australia and we'll be able to consolidated cost and share digital and video learning's across our platforms. We have just announced the transfer of Fox Sports News to Sky News which will allow us to maximize synergies and scale. Looking once again at the quarters a whole, we see the enduring value of that content. The power of our platform, the benefits of [indiscernible] cost of strange and the manifold ways our businesses are combining and complementing each other and crucially driving long-term value for all of our investors. Governmentally, we were pleased to announce the addition of former U.S. senator, Kelly Ayotte to our board. Following the departure of Elaine Chao, who became the U.S. secretary of transportation, in the new administration. We wish her well in her profound the important role. And I was finally like to say a word of thanks to the new CFO first CFO, the vulnerable Bedi Singh. He did much to assist in launching the company and I'm very proud and delighted to introduce our new CFO Susan Panuccio, a long-time colleague at news school. Susan brings to this important task a savvy strategic sensibility and a rigorous attention to both detail and the larger landscape. She has experience in both the UK and Australia, as well as insight in the importance of digital transformation of the news and property businesses. For these reasons and more I have great confidence not on in her but in the prospects for this business and its value for our shareholders. Thank you for your support and so please welcome Susan.
Susan Panuccio: Thank you for those kind words Robert. I am delighted to be here today and looking forward to getting to know all of you in the very near future. This is the unique time for the company, as we continue the transformation to a digital first company and I am really excited to have taken a broader role across the company. While I am very new to this role, there are few observations, I would like to make. We are a company that has global scale, customers and data sets, that can be better monetize. As Robert mentioned, one need an initiative would be the launch of our global digital advertising platform in the coming months. But there is a lot more we can do including more effectively sharing the resources standardizing subscription strategies and better leveraging our content across the markets in the US, the UK and Australia. There is more we can do and are doing on cost. While we need to make sure, we continue to invest in digital initiatives, I also think there is plenty of room to improve efficiencies and remove legacy cost across the business and much of that is underway. Revenues from our printed news market is remains a very important source of revenues. However, we do need to be focused on driving incremental and higher margin revenue streams ranging from custom content to higher margin brand extension such as Sunbits [ph] in the UK. And finally I will be open to new ideas and new ways, that will drive higher growth and value per share in the long-term. With that of an introduction, I'll now turn to the operating results for this quarter. We reported fiscal 2017 third quarter total revenues of around $2 billion, up 5% compared to the prior year. Currency had a $21 million negative impact on revenues with modest year-over-year improvement in the Australian dollar, outlaid by weakness in the pound. Reported total segment EBITDA was $215 million compared to a loss of $122 million in the prior year which included a one-time settlement charge of $280 million at News America marketing, excluding the charge in the prior year segment EBITDA would have risen 36%. For the quarter, loss per share from continuing operations was $0.01 versus the loss of $0.26 in the prior year. Adjusted EPS from continuing operations was $0.07 versus $0.04 in the prior year. Tuning now to the individual operating segments; in News and Information Services revenues for the quarter rose 3% to approximately $1.3 billion versus the prior year. Within segment revenues, advertising rose around 4% or 5% in local currency, driven by News America marketing and contributions from acquisitions partially offset by print advertising decline, although the rate of advertising decline moderated this quarter across all territories. Circulation and subscription revenues decreased 1%, yet rose 3% in local currency, driven by the acquisition of Australia Regional Media or ARM, cost increases in higher pay digital volume offset by lower print volumes. News and information services segment EBITDA this quarter was $123 million up from $93 million in the prior period, excluding the $280 million News American marketing settlement last year. We saw strong EBITDA contribution at News American marketing, led by in-store product and modest year-over-year improvements at Dow Jones and UK, offset by declines in the Australian business. We also had an adjustment to the deferred consideration for Unruly, which positively impacted EBITDA by around $12 million this quarter. Looking at performance across our key units, at News American marketing, the business continues to perform well, with revenues up 13% versus the prior year driven by the strength of in-store products which more than offset declines in freestanding in-store products. Some of the growth was timing related, but we continue to see strong growth due to the increased number of retailers and higher brand spending. To give you a sense of the timing related difference, we estimate that approximately $15 million less than half of News America revenue growth this quarter was timing related, which will unwind in fiscal Q4. Checkout 51 continues to expand, now reaching over 13 million members at quarter end and continues to increase visibility and gain traction with our CPG clients. At Dow Jones, total advertising revenues declined around 12% due to print advertising, which was a marked improvement from the fiscal Q2 performance which still advertising down over 20%. Pleasingly the mix of advertising is changing, in fact, fiscal Q3 approximately 15% of total advertising at Dow Jones is what I would call emerging or non-traditional advertising revenue. This includes custom content conferences and of course programmatic advertising and these will remain a big focus going forward. As Robert mentioned, we are continuing to see strong paid volume growth in digital at the Wall Street Journal, while total subscriber volumes across all formats reached $2.2 million, a 12% year-over-year increase, driven by higher digital only sales which rose over 30% versus the prior year. Circulation revenues at Dow Jones grew mid-single digits due to both volume gains and higher subscription pricing, led by the Wall Street Journal, which grew high-single digit. Professional information business revenues remained relatively stable with the prior year, similar to last quarter, as we continue to see very strong growth in risk and compliance together with a strong pipeline for new business. At News Australia, advertising revenues rose $8 million or 5% and were down 1% in local currency. The Increase in advertising revenues was driven by the acquisition of ARM which contributed $20 million in the quarter. Advertising revenues at our other Australian markets remained challenged, but showed a sequential improvement hardly due to the moderation in the real estate and employment categories, particularly at the local advertising level. Circulation revenues at News Australia increased $7 million or 8% and were up slightly in local currency, primarily due to the acquisition of ARM which contributed $6 million. Cover price increases including one take into the weekday Australia in February and higher paid digital subscriptions largely offset bring volume declines at our existing markets of around 7%. On cost initiative within the Australian business, we are on track for an additional $40 million Australian dollars in cost savings in the second half of fiscal 2017 and continue to seek additional cost reduction. Although some of the that saving is being reinvested to accelerate our digital transition given that the Australian business has the highest proportion of print advertising across our markets as a percentage of overall revenue. At News UK, while reported advertising revenues decreased by 18%. In local currency was close to a high single digit decline, also a modest sequential improvement from the low teen last quarter. Reported circulation revenues at News UK saw 10% versus the prior year quarter, but rose 4% in local currency as cover price increases more than offset single copy volume declines at Sun. Wireless Group revenue was flat as growth in Fox Sports was offset by the absence of revenues from sport magazine which was closed in February 2017. We continue to make good progress on the integration of wireless into the News UK Group. Turning to the Book Publishing segment, revenues was $374 million up 4% compared to the prior year. We saw strong contribution this quarter from titles including Hillbilly Elegy and Hidden figures. Revenues also benefit from the release in January of Veronica Roth's Carve the Mark, however sales with this title were off to a slow start than anticipated. Segment EBITDA rose 3%, $37 million, as a revenue growth was offset by an unfavorable cost to sales in this quarter. Title digital revenues which include audio books, were approximately 22% of consumer revenues, if digital fails rising modestly over the prior year quarter, driven principally by audio books. In digital real estate services, reported revenues for the segment increased $25 million or 13% just $219 million and adjusted revenues increased 15%, which excludes the impact from the divestitures of REAs European real estate portal and Move sale of TigerLead last quarter, as well as currency impact on acquisition. Reported segment EBITDA was $75 million up $36 million or 92% versus the prior year, benefiting from strong contribution at both Move and REA, including lower legal cost of Move. Adjusted segment EBITDA growing 68%. REAs revenues grew 10% due to an increase in Australian residential depth revenue resulting from favorable product mix and higher prices and a $6 million impact from favorable foreign currency fluctuation. The growth was partially offset by a $9 million or 9% decline in revenue resulting from the divestiture of the European business. It's important to note, that the REA Group report results the present year of this discontinued operations that you will see a bigger variance this quarter between our reported revenue growth than in the past. Please refer to REAs earnings release for more detail on this. As expected, REA results showed strong growth in EBITDA contributions, strong operation margins in its all Australian business. Move revenues rose approximately 15% to $100 million versus the prior year, reflecting continued strong performance from connection for buyers and higher non-listing media revenue. TigerLead which was divested in November contributed $4 million in the prior period. Average monthly unique user growth at realtor.com remains strong, up high single digit year-over-year to $55 million in the quarter, with $58 million in March. In Cable network programming, revenues rose 14% to $122 million compared to the prior year quarter, from the inclusion of $9 million related to the acquisition of Sky News and favorable foreign currency fluctuations. Adjusted revenue growth was 1%. Segment EBITDA in the quarter was flat at $34 million and up modestly on an adjusted basis. With respect to earnings from affiliates, equity income was negative $23 million this quarter compared to positive $2 million last year. Our equity loss pickup this quarter included a $7 million negative impact related to a change in the fair value of Foxtel investment in the Ten Network and a fair to $10 million loss related to Foxtel's Presto wind down consistent with our expectation. Both numbers reflect our 50% share. Regarding its operating performance, Foxtel ended the quarter with 2.8 million total subscribers with closing cable and satellite subscribers down 1% compared to the prior year, but saw small subscriber gains from the prior quarter. In the third quarter cable and satellite churn was 16.1% compared to 14.3% in the prior year, an encouragingly showed improvement late in the quarter with the beginning of winter sports and the launch of the Foxtel channel. Foxtel revenues for the quarter increased 2% to $591 million but were down 3% in local currency and EBITDA decreased 9% to a $131 million and was down 13% in local currency due to the decrease in revenue and increases in programming cost principally in sports. Cable satellite ARPU for the quarter was down approximately 2% to around AUD 86. And finally for Q3, capital expenditures from continuing operations year-to-date were $168 million, lower than the $180 million in the prior year. I would like to now turn to the upcoming fiscal fourth quarter. You may recall that the prior year included the 53rd week, which contributed a $112 million in revenues last year. In addition we also recognized a gain of a $122 million related to the NAM Group settlement. As for those items, I have a few more observation. In the News and Information services segment, overall advertising trends at this point are relatively similar with the fiscal third quarter for our key market. As I noted News American marketing had a timing benefit this quarter which will reverse in Q4 of around $15 million and we will also be lapping a price increase at the Sun, Monday to Friday in the prior year. In Digital Real Estate services, we expect to see improved revenues and continue strong EBITDA contribution at realtor.com. REAs expect phasing of cost to be higher in the fourth quarter versus the year ago in the third quarter, due to increased investment in product innovation in associated marketing expenses. REA will discuss to see more detail during the quarterly conference call, shortly after ours. At book publishing, the environment remains relatively healthy in the fourth quarter however we will have fewer front list titles from the prior year. Notable releases for Q4 will include Dragon Teeth from Michael Crichton and David Williams, World's Worst Children 2 to [indiscernible]. In summary, the quarter demonstrated a few scene, we are a company that is evolving with a unique mix of assets so this continuing our push towards digital. Digital real estate continues to expand, Move's contribution to EBITDA is now solidly positive as we had anticipated and the segment is helping to reshape News Corp's long term growth trajectory. We are taking action to stabilize the News and Information services segment, we're still facing an uncertain print market and we must be diligent on cost and accelerate digital as quickly and impressively as we can. With that let me hand over to the operator for Q&A.
Operator: Thank you. [Operator Instructions] It's time we'll move to Entcho Raykovski with Deutsche Bank. Please go ahead.
Entcho Raykovski: Hi Robert, hi Susan. My question is around News and Information services and in particular where there any synergies that's being generated from the recent acquisitions of ARM and Wireless. Any particular, if I look at the News Australia operations that the cost reduction target of $40 million that you have in place at the moment. Does that take into account the benefits of the combination with ARM or do you think these say the cost benefit to come?
Susan Panuccio: Just in relation to News Australia and the ARM acquisition, so I think what we'll find in the current year is that we will have integration cost largely offsetting any synergies that we will get, but we are expecting to see benefits coming through in this next financial year. So they are not included in the $40 million target that they are closing. So we are on track to deliver that $40 million target for this financial year. In relation to Wireless I'll now hand it over to Robert to talk about that integration.
Robert Thomson: Yeah thanks very much Susan. Entcho I think what we are seeing, is what we hope to see which is a real complementarity in the offering of the two. You've seen talkSPORT drive way to the Sun and the Sun drive business to talkSPORT. We're also seeing portfolio at pitches with the Wireless Group, the Sun, Storyful, Unruly, generating new business and obviously it's the early stage of the new partnership in UK. But Rebekah Brooks and the team are doing an excellent job in ensuring that the teams are talking to each other, working with each other and generating returns to shareholders.
Michael Florin: Thanks Entcho. Matt, we will take our next question please.
Operator: Thank you. We'll now move to John Janedis with Jeffries.
John Janedis: Thank you. Rob, there is been a lot of discussion, as you know in the industry about the new cycle and the impact circulation. But based on what you are seeing at the Journal. How do you think about the medium term this type of opportunity, and can you talk about to what extent there is a some sort of positive cross platform advertising benefit?
Robert Thomson: John, we are standing in the middle of an interesting cycle, there is no doubt, a premium unpremium news and we are seeing that in the continuing growth in paid digital subs, the Wall Street Journal up 34% year-on-year. And for us there is an added benefit, which is we obviously see those news subscribers as a potential pool of our customers for an upsell to even more premium products, whether it be through to a high network individuals, semi-professional fund managers or those who are specialist like yourself in finance take commodities FX, whatever. So for us there is a double benefit, we are introducing a new generation of readers into the highest quality paid content and we are able to than bring them further into due diligence hold with our traditional professional information business products.
Michael Florin: Thanks John. Matt, we will take our next question please.
Operator: We will now move to Kyle Baker with Guggenheim Securities.
Kyle Baker: Great, thanks for the question guys. I believe in her prepared remarks, Susan you said that the 53rd week will be a $112 million revenue impact, is there any way you guys can quantify the EBITDA impact of the 53rd week in the fiscal fourth quarter, as well as any color by segment if you have it? Thank you.
Susan Panuccio: So I think we in previous calls we have obviously quoted the $112 million revenue number, but we don't talk about what the EBITDA impact is. I think that this way for you to look at that is to apply the normalized year-to-date margins and that would be view a good proxy to the EBITDA impact.
Michael Florin: Thank you. Matt, we will take our next question please.
Operator: And the next question will be from Brian Han, with Morningstar.
Brian Han: Good morning. Can you please talk about the $10 million increase in EBITDA loss in the other division and is that an area that we should be focused on to see the progress of your cost drive across the group?
Susan Panuccio: So the other division include, corporate cost now headquarter cost and our strategy team, but it also includes a severance amount this quarter as well which is what you are seeing and why you are seeing the increase coming through.
Michael Florin: Thank you. Matt we will take our next question please.
Operator: And that will be from Craig Huber, with Huber Research Partners.
Craig Huber: Yes, thank you. Just curious, any updated thoughts expectations here about the billion 85 of cash, it sits on the balance sheet here, I mean this there is a huge amount of cash on balance sheet for roughly four years its only changes here, is the mindset change it all here to potentially to buyback any stock or what's the game planning here, as I get this a question a lot from investors?
Robert Thomson: Thanks Craig and thanks for passing on the question Craig. It's a very silent one, it's a situation we constantly has under review as you know, we have a semi-annual dividend in place, the big buybacks up to around $71 million of provision for buybacks of $500 million. But we've divided, look really into three areas, opportunistic acquisitions, internal investment and capital. And if you look at the three main investments we have made which is realtor.com via Move, Harlequin and Wireless Group, you would have to agree that they played a crucial role in transforming our business. There is no doubt that if you noted out the $600 million we invested in Realtor has fundamentally transform the company and as you can see given the increasing growth in both revenue and EBITDA that I will say digital businesses in general and the ability that Harlequin has given HarperCollins, to move from one language to 17 languages is quite profound and that has also increased our digital footprint. And you can see the early signs in UK of the value of the Wireless Group. So we will continue to be opportunistic that we will continue to have the situation under review.
Susan Panuccio: And Craig I think just to add Roberts thought from those matters, that I think just to reiterate my point that I made at the start of my statements. We will continue to look at opportunities that drive higher growth and value per share in the long term and we will look at everything.
Michael Florin: Thank you Craig. Matt we will take our next question
Operator: Thank you. [Operator Instructions]. We'll now move to Raymond Tong with Evans and Partners.
Raymond Tong: Good morning Robert and Susan. Just the question on Move and can you maybe talk a bit in more detail in the acceleration of the revenue growth at Move, sort of talked about some of the new products there and also a sense of just the EBITDA growth contributions from Move during the quarter please?
Robert Thomson: Ray the contribution to EBITDA growth was $22 million for the quarter, where we continue to expect EBITDA growth and revenue growth in Q4 without giving a detailed forecast. What we're seeing is that the traditional products like Co-Broke, which is up 34% year-on-year doing well, the newer products are also taking off, as well as our experience in advertising and in traditional media is enabling us to get better quality yields at Move. So there was a 33% growth in non-listing media revenues. So all-in-all that ability that we have to learn from our experience at REA, our ability to generate audience through marketed platforms, which gives us a marketing edge and our ability to create a site, that's not just a listing side for Realtor's and vendors but also a site that is holistic real estate experience with more news, more analysis than any other means that we certainly have a comparative advantage going forward.
Michael Florin: Thank you. Matt we will take our next question please?
Operator: This will be a follow-up from Craig Huber with Huber Research Partners.
Craig Huber: Yes hi. I was just curious, in the newspaper division, if you exclude the acquisitions and adjust for currency, how much was the cost down year-over-year please?
Susan Panuccio: Excluding the acquisitions, we think the cost were down probably low-single digits, predominantly being driven by Dow Jones. So they've seen a good decreasing cost quarter-on-quarter year-on-year around 4%. We are also seeing some cost decreases coming through in relation to some of the other divisions within that segment, but it's predominantly being driven by the Wall Street Journal.
Craig Huber: Sorry is that also adjusting for currency as well the down low-single?
Susan Panuccio: Yes correct.
Craig Huber: And also, if I could ask…
Michael Florin: Matt we'll take our next question please?
Operator: We'll move on to Brian Han with Morningstar.
Brian Han: Thanks. Just one follow-up question, you guys mentioned before about opportunistic acquisitions, are there any such opportunities in Australia, if the recently announced media reform package gets passed?
Robert Thomson: We don't speculate on speculation. All I would say on the subject of media reform, is that really we do need comprehensive holistic wholesale media reform in Australia. We have a set of loads that are more for the Goldenberg [ph] era than the Zuckerberg era and as long as there is wholesale reform, we'll be supported by them.
Michael Florin: Thank you. Matt we will take our next question please?
Operator: It will be from Eric Katz with Wells Fargo.
Eric Katz: Thank you. Just touching on the digital sales and the news rental services, you've clearly gained a lot from newspapers over the last couple of quarters, and I'm wondering how that's impacting your advertising particularly CPMs inventory, just the what kind of momentum are you seeing? Thank you.
Robert Thomson: I think, it's a very good question and it's one that was spending a lot of time and energy across our market looking at our ability to increase yields as we identify reader demographics and that's obviously at the very heart of the new advertising platform that we're building here in the US. We know that across the U.S. monthly we on our sites including Realtor, we have around 220 million visitors combined with our newspaper mastered audiences that is a valuable source of audience for advertisers and we're doing our very best to monetize it in a way that make sense to advertisers, increasingly find themselves on third-party networks unable to be sure the company that they're keeping.
Susan Panuccio: I think I'd also add that we are seeing good digital growth across some markets, so we are seeing growth across News Australia, News UK on a year-to-date basis for the Wall Street Journal and the New York Post. And also pleasingly we're seeing ARPU growing. So I think that equally is important on the circulation side as what is on the advertising side.
Michael Florin: Thank you. Matt we will take our next question?
Operator: At this time, we have no further questions in the queue, so I'll turn it back over to you Mr. Florin for any additional or closing remarks.
Michael Florin: Great thanks Matt. Thank you for all participating today. Have a great day and we'll talk to you soon.
Operator: And again that does conclude today's conference call. Thank you all for your participation.